Operator: Greetings and welcome to Gannett's Second Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode and a question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Matt Esposito, Head of Investor Relations. Sir, you may begin.
Matthew Esposito: Thank you. Good morning, everyone and thank you for joining our call today to discuss Gannett’s second quarter 2024 financial results. Presenting on today’s call will be Mike Reed, Chairman and Chief Executive Officer; Doug Horne, Chief Financial Officer, Kristin Roberts, Chief Content Officer and Chris Cho, President of Digital Marketing Solutions. If you navigate to the Gannett website, you will find that we have posted an earnings supplement in addition to our earlier press release. We will be referencing it today on the call, as it provides you with additional detail on this quarter’s performance. Before we begin, please let me remind you that this call is being recorded. In addition, certain statements made during this call are, or may be deemed to be, forward-looking statements, including those with respect to future results and events, and are based upon current expectations. These statements involve risks and uncertainties that may cause actual results and events to differ materially from those discussed today. We encourage you to read the cautionary statement regarding forward-looking statements in the earnings supplement, as well as the risk factors described in Gannett’s filings made with the Securities and Exchange Commission. Except as required by law, we undertake no obligation to publicly update or correct any of the forward-looking statements made during this call. In addition, we will be discussing non-GAAP financial information during the call, including same-store revenues, free cash flow, adjusted EBITDA, adjusted EBITDA margin, and adjusted net income attributable to Gannett. You can find reconciliations of our non-GAAP measures to the most comparable U.S. GAAP measures in the earnings supplement. Lastly, I would like to remind you that nothing on this call constitutes an offer to sell, or solicitation of an offer to purchase, any interest in Gannett. The webcast and audio cast are copyrighted material of Gannett and may not be duplicated, reproduced or rebroadcasted without our prior written consent. With that, I would like to turn the call over to Mike Reed, Gannett’s Chairman and CEO.
Michael Reed: Thank you, Matt. Good morning and thanks for joining our second quarter earnings call. We had a strong second quarter and we are excited to give you an update today. I wanted to start with some important themes, which you will hear covered throughout this morning’s call. We continued to show improvement in our overall same-store revenue trends and are pleased with where we are for the first six months of the year. Importantly, our improvement in total same-store revenue trend was once again, driven by growth across all of our key digital revenue categories, as we expected. We realized adjusted EBITDA growth a quarter earlier than expected this year. And we improved our balance sheet, moving first-lien net leverage below two times to 1.9 times, while liquidity remains strong. Core to our operating results was our expanded monetization strategy, which produced several wins across our digital businesses during the quarter. We saw increased engagement with our large digital audience, resulting in the third consecutive quarter of year-over-year growth in digital advertising. We achieved new highs in digital-only subscription revenue and ARPU, and we returned to year- over-year growth in digital-only paid subscriptions. We reached new highs in DMS core platform revenue and core platform ARPU; and we grew our partnership revenue more than 100% compared to the prior year. Our performance in the quarter, both financial and key metrics, gives us confidence that aligns with our expectations that we will see continued improvement over the back half of the year and we are reiterating our business outlook this morning. In the second quarter, adjusted EBITDA reached approximately $75 million, up nearly 5% over the prior year. This performance is especially noteworthy, given the 40% growth we experienced in the second quarter of last year. So, it was great to see further progress over a very tough comp. Our adjusted EBITDA growth combined with continued optimization of our working capital, also resulted in solid free cash flow generation, marking a notable increase from Q1 in free cash flow. Same-store revenue trends improved sequentially for the sixth consecutive quarter and we believe we remain on track to hit our revenue growth inflection point as we exit this year. As those, who follow us know, important to our success in 2024 is the growth of total digital revenues. In Q2, we saw continued growth in each of our digital revenue categories versus the prior year. As a result, total digital revenues increased 6.2% and now account for 44% of total revenues. All of these items I have refenced this morning; adjusted EBITDA growth, free cash flow generation, ongoing improvement in same-store revenue trends, growing digital revenues, and further deleveraging -- are expected to continue in the second half of the year. We believe we have many opportunities ahead of us, and we intend to fully capitalize on them as we continue to execute on our strategy. With that, I would like to discuss some of the operational highlights from the second quarter. Our commitment to a diversified digital strategy is expected to provide a foundation for sustainable growth. Our strategy focuses on both audience expansion and increased engagement through a personalized content experience, with the goal of maximizing revenue throughout the user journey. In the second quarter, we continued to attract a significant digital audience, with 185 million average monthly unique visitors to our platforms, and as a result of improved engagement with that audience, we were able to achieve double-digit pageview growth over the prior year. This focus on overall audience and monetization has yielded positive results across our digital businesses. A notable example of that success is our digital-only subscription revenue. In Q2, digital-only subscription revenue and digital-only ARPU achieved new highs, with growth rates of at least 20% over the prior-year period. The second quarter also marked the fourth consecutive quarter of sequential growth in digital-only paid subscriptions, as well as a return to year-over-year growth. We believe the solid progress across our key metrics confirms that the strategic actions we’ve implemented, focused on customer acquisition, content and pricing have proven to be effective. We expect this revenue stream to continue to be a meaningful contributor to the expected overall digital revenue growth in the near- and long-term. Our penetration rates remain low and our ARPU is below market. So, we see significant potential to grow through increased volumes and pricing. Couple that with the outstanding work Kristin and the content team are doing to provide high-quality journalism and broader content experiences, and we believe we have a strong value proposition for our consumers and advertisers. I’ll now turn it over to Kristin to highlight some of the accomplishments from the quarter, as well as outline the strategic initiatives in motion for the second half of the year. Kristin?
Kristin Roberts: Thank you, Mike. It was nine months ago that I outlined on this call our long-term vision for Domestic Gannett Media. While we’re still in the early stages, our results around audience and engagement reinforce our confidence and expectation that we will be the engine for growth at Gannett. We’re using strong journalism to deliver content that’s both relevant and essential, and that has expanded our audience, it’s improved our engagement among readers, viewers and listeners. and it’s helped grow digital revenues through diversified channels. As a result, we’ve generated 11 consecutive months of at least one billion pageviews at USA TODAY and the USA TODAY NETWORK. We also engineered something extraordinary in the second quarter. For the first time in our company’s history, the USA TODAY NETWORK in April rose to the number one news and information provider among content producers in America, based on unique visitors as measured by Comscore. Also, our digital audience represented 53% of the total internet audience as measured by Comscore, indicating that more Americans are engaging with our content than ever before. These milestones are monumental and I am incredibly proud of our team’s work. Looking to the second half of the year, we expect to continue to scale our success in video content. Our audiences tell us in so many ways that they want more video journalism and visual content -- both on our sites and on other platforms. We’re here to deliver, with editorially relevant and high-quality visual journalism, that meets the mission and extends our reach. As I mentioned on our last call, we’ve ramped up our video initiative through the creation of a Unified Video Team that supports production and programming across all newsrooms and content teams. Our goals are to increase video views and engagement, and to extend the reach of our video journalism to millions of viewers. The best part is that we are already seeing incredible results, with significant gains made in video programming and video views from major sporting events such as the Kentucky Derby, Indy 500 and the College World Series. These results make it clear -- we’re benefiting from the power of sports video on our network. Now, with the Olympics underway, and football season quickly approaching, we plan to expand this strategy both in our local markets and nationwide. By combining video efforts and better communicating and collaborating, we’ve set out to deliver essential content in a format our audiences increasingly want. We're also covering the 2024 elections with our One-Team unified strategy leading the charge. Voting isn’t just about waking up on November 5th and casting a vote on your way to work. It starts so much sooner, with so much more at stake than the top of the ticket. Our mission is to help readers, viewers and listeners become more informed, and ready to make the best choice for their families and for themselves. We’re delivering on this commitment by creating more explanatory journalism, leaning into local voter guides and helpful email courses, and redesigning results pages. Giving the people of our communities the information they need to fully participate at the local, state and national level is the work that matters in an election year. To recap, we believe our results demonstrate that we are the preferred platform for relevant and essential content. I’d also like to take this opportunity to thank the Content team and all of our partners throughout the enterprise for their outstanding work. None of these achievements would be possible without the incredible effort you put in every day. Back to you, Mike.
Michael Reed: Thank you, Kristin. It’s really exciting to hear about several of the key initiatives underway, which we expect to have a tangible impact on audience and engagement, as well as revenue generation. Now, let’s turn to our DMS business. and for that, I'll hand it over to Chris for an update on the quarter and some recent product highlights. Chris?
Chris Cho: Thank you, Mike. In the second quarter, our DMS business continued to deliver year-over-year revenue growth. We achieved our highest core platform revenue in the history of the segment, reaching $122.8 million, growing 1% over the prior-year period. Revenue growth in the second quarter slowed slightly compared to DMS’s strong first quarter and our original expectations, as we experienced lower budget retention early in the quarter. However, we saw retention recover steadily over the quarter. With a solid pipeline of new business, we anticipate Q3 revenue growth to return to, or exceed Q1 levels. We also remain focused on running our DMS business at high levels of profitability; and in Q2, our adjusted EBITDA of $11.8 million marked a notable growth of 34.1%, compared to Q1. We ended the quarter with over 14,700 customers, representing sequential growth of 2.8% versus Q1. Importantly, we successfully retained and expanded accounts that align with our ideal customer profile. Our core platform ARPU also reached a new high in Q2 of approximately $2,800, increasing 5.1% year-over-year. In the quarter, we grew our customer count, we grew our ARPU and we believe this sets the foundation for growth in Q3. As I outlined on prior calls, we developed our AI-powered CRM solution -- Customer Center Powered by DASH, or DASH, that complements and accentuates our existing DMS product suite. This solution leverages generative AI by offering state-of-the-art lead categorization and prioritization, as well as call and voicemail summarization features, which are expected to drive better campaign optimization and enhanced commercial outcomes for customers. In Q2, we rolled out DASH to new and existing customers. We have been out in the market for under two months, but I am pleased with the customer reaction to date. We believe our near-term opportunity lies with our existing customer base and the anticipated growth in ARPU. Over the long-term, we expect to make DASH available as a standalone offering to any customer. To date, we have seen encouraging traction with our new DMS customers including a subscription to our AI-toolset as part of their overall purchase. These positive signals reinforce my confidence in the growth potential of this recurring revenue stream over the long-term. I look forward to updating you on further progress in Q3. Mike?
Michael Reed: Thank you, Chris. It is encouraging to see our DMS business’s product innovation during the quarter. The launch of DASH required a great deal of hard work, so congratulations on the positive reception. As we continue our journey, I am excited about the possibilities of this new revenue stream for our DMS business. Moving to another growing digital revenue category. we continue to make great progress with partnerships. and in Q2, our affiliate revenue grew over 100% compared to the prior year. Further, we are actively exploring additional partnerships and we expect more announcements by the end of the year. We believe this strategic expansion will enable us to drive audience growth and engagement, increase our digital revenues, and enhance the monetization of our content platform. As we further scale our existing portfolio and announce new deals, we expect this affiliate revenue stream to become a significant contributor to our overall revenue. Before I turn the call to Doug, let me recap the second quarter. We believe our strong financial results and operational performance show that our strategy is working. As you have heard, we have made significant strides across our business, a few of which are improving revenue trends, driven by digital growth, a return to year-over-year adjusted EBITDA growth, and total net debt falling below $1.0 billion. As a result, we are confident and believe we are on track to deliver on our full-year commitments. The first half of 2024 closed with considerable momentum and as we move into the second half, our optimism at Gannett continues to grow. With that, I will now turn the call to Doug to provide additional detail and color around our 2024 second quarter financials. Doug?
Doug Horne: Thank you, Mike and good morning, everyone. As Mike highlighted, we delivered another positive quarter from both an operational and financial perspective. Please keep in mind all comparisons are on a year-over-year basis unless otherwise noted. For Q2, total operating revenues were $639.8 million, a decrease of 4.8% or 4.6% on a same-store basis. This represents a 50-basis point improvement from Q1 same-store revenue trends, as well as the sixth consecutive quarter of revenue trend improvement. While our digital advertising and DMS results were impacted by higher-than-expected churn, primarily in lower margin accounts, we believe the growth in our digital-only subscription business, combined with the anticipated expansion in both digital advertising and DMS, which we believe, are supported by strong new business pipelines, are expected to result in revenue trend improvement in the second half of the year. Before moving on from revenue, I want to highlight that earlier this year, we eliminated certain out-of-market and non-strategic USA TODAY NETWORK Ventures’ events. As a result of these changes, there will be an impact to reported revenues, but an overall positive impact to adjusted EBITDA. Adjusted EBITDA totaled $74.6 million in the second quarter, an increase of 4.8% or $3.4 million. Adjusted EBITDA margin was 11.7% in Q2, compared to 10.6% in the prior-year quarter. The growth in adjusted EBITDA was fueled by the improving revenue trends, strategic cost controls and the continued operational progress against our goals. Expense management remains a critical priority; and in Q2, operating expenses decreased approximately 4%, compared to the prior year. Total digital revenues in Q2 were $278.4 million, up 6.2% and accounted for 43.5% of total revenues. Each of our digital revenue categories continued to grow over the prior year, reflecting solid execution of our diversified digital strategy. Digital advertising increased 3.6% in Q2 due to programmatic revenue and pageview growth, and we expect these trends to continue to improve in the second half of the year. Our digital-only subscription business continued to perform well in Q2, with growth across all key metrics. Digital-only subscription revenue reached a new high of $46.3 million, growing 22.3%. Digital-only ARPU also reached a new high of $7.62, increasing 20% versus the prior year. Importantly, we achieved these increases while also growing digital-only paid subscriptions sequentially, as well as year-over-year. We recently implemented a new paywall strategy, which is expected to further improve our acquisition efforts. and as a result, we expect continued year-over-year growth in digital-only paid subscriptions for Q3. Our strategic efforts to enhance the quality and value proposition of our print product continue to demonstrate results. In Q2, print and commercial saw sequential improvement in revenue trends for the second consecutive quarter. We are committed to managing the print products and related secular declines as efficiently as possible, which is why we remain focused on improving the subscriber experience. As a result, we expect to carry this momentum into the back half of the year. Looking at the Domestic Gannett Media segment. In Q2, adjusted EBITDA in the segment was $52.9 million, up 19% compared to Q1. Adjusted EBITDA margins also saw a sequential growth, increasing by 180 basis points to 10.8%. Turning to Newsquest. For Q2, adjusted EBITDA in the segment was $14.1 million, up 13.6% over the prior year and adjusted EBITDA margins grew 150 basis points to 23.1%. In our Digital Marketing Solutions business, total core platform revenue in the second quarter was $122.8 million, marking an increase of 1% versus the prior year. Adjusted EBITDA for the segment was $11.8 million, reflecting a margin of 9.5%. We had approximately 14,700 core platform customers, with core platform ARPU reaching approximately $2,800, which is up 5.1% over the prior year. Our customer budget retention rates are above 95%, a bit lower than Q1. However, based on what we see in the business, as well as our strong pipeline, we expect trends to improve in the second half of the year. Let’s now shift to the balance sheet. At the end of the second quarter, our cash balance stood at $98.9 million and our outstanding total net debt fell below $1 billion for the first time since the acquisition of legacy Gannett in 2019. Cash provided by operating activities totaled $35.1 million, marking a sequential improvement of $12.6 million, compared to Q1. Free cash flow reached $25.4 million in the second quarter, marking a sequential improvement of $15.9 million, compared to Q1. We ended Q2 with approximately $1.1 billion of total debt. Debt paydown remains a high priority and we continue to make meaningful progress. In Q2, we repaid $24.3 million of debt, which combined with our adjusted EBITDA growth, reduced our first lien net leverage to 1.9 times. I am very excited about the progress achieved through the second quarter. The first half of 2024 was successful from both an operational and financial perspective, and we are entering the second half of the year with a great deal of optimism. Our unwavering focus is on sustaining or improving these operating trends throughout 2024 as we continue to transform Gannett and in turn, seek to create meaningful value for our stakeholders. I will now hand it back to the operator for questions and then we will go back to Mike for some closing thoughts.
Operator: [Operator Instructions] Thank you. Our first question is coming from Giuliano Bologna with Compass Point. Your line is live.
Giuliano Bologna: Good morning. It's great to see the continued execution on your strategic goals after a few quarters of stringing together, good execution. As the first question.
Michael Reed: Hi, Giuliano. Good to talk to you.
Giuliano Bologna: Of course. And then this first question, yes, you continue to show great audience growth numbers, and while the traditional media industry is showing declines, I'm curious if this is sustainable for you and how do you leverage the massive audience that the Internet platform has.
Michael Reed: Kristen, will you take this one?
Kristin Roberts: Yes. I'd be happy to. And really, thank you for this question. It's the right question. We, at this point, we reach a massive number of people every day and what the data tells us around some specific content types and some specific experiences is that there is room to grow. What this large audience really means for Gannett is that we've now got the opportunity to focus on engagement. And that engagement is what leads to diversified digital revenue. It's one thing to grow the audience. It's another to hold that audience and then to turn that audience into predictable and repeatable revenue across multiple revenue channels. So, moving from just programmatic revenue to programmatic revenue and direct ad sales, as well as affiliate revenue and partnership revenue and e-commerce and subscriptions. So, an increasingly-engaged audience really gives us the opportunity to take the next big step, which is creating a multi-point monetization journey. The kind of journey that increases the amount of revenue captured per digital user on every digital visit. And I think, the useful construct, the one that we're using to think about this is the sports reader. Think about a sports reader, who finds a story on platform and then that leads to programmatic revenue. That person is then presented with a second relevant and related piece of content, and he or she interacts with that content, and say, it's from our partner, gambling.com. That drives partnership revenue. So, as that reader then extends to a third asset, we might serve up in a subscription offer, for example. So, what having this large audience does is that it allows us to narrow slice and present relevant experiences to specific audience groups like, think of it as segmented products for segmented audiences. That's going to lead to increased engagement and that in turn allows us to take advantage of our diverse digital revenue streams, and that will maximize monetization along the consumer journey. So, we absolutely believe we can grow that engagement and that monetization, and we're starting to leverage AI in new ways to make smarter recommendations to personalize the consumer's journey. And we're building up new experiences to take advantage of the content that we're already producing. We're driving more engagement than we were this time last year. There's still incredible opportunity to draw our consumers back to our platform and to encourage further engagement with our content. Mike, I hope that helps.
Michael Reed: Yes. Thank you, Kristin.
Giuliano Bologna: It sounds good. And there's a follow-up on a bit, sorry, different topic. Can you update your thoughts further about debt repayment and sales of non-strategic assets in the second half of the year?
Doug Horne: Yes, absolutely. Debt repayment remains a top priority for us and I would say each quarter we're making measurable progress. and for the year, we're still targeting that $45 million to $50 million of asset sales and as such, we expect to repay at least $110 million of debt for the year. Thus far through the first half, we've repaid $41 million, but we expect that to accelerate in the second half, as we see more real estate and non-strategic asset sales, as well as continued free cash flow generation. I would say we have a really active pipeline in terms of asset sales and we're expecting much more activity in Q3 and Q4 than what we've seen year-to-date.
Giuliano Bologna: That's very helpful. I appreciate that. And maybe, switching over to the digital side, I'm curious what gives you confidence around further digital subscriber and revenue growth, continuing going forward.
Michael Reed: Yes. Giuliano, really keeping it simple, there's two primary areas I would focus that we're focused on. The simplest one is ARPU. And while we've driven ARPU up 20% over the past year, which has been great. our ARPU is still almost 100% below where the market is. And so over the next three years, we intend to continue to drive that ARPU to market levels. So, setting aside volume, we expect to be able to double our digital subscription revenues, which are a substantial revenue stream today in terms of the actual the nominal amount. We expect to be able to double that over the next three years through ARPU. But part two of that is volume and that's a really critical part of our growth strategy. Our penetration rates are still low. And so, all of the things you just heard Kristen talking about are being done in a manner that monetizes the journey of a consumer with us and a part of that is subscription. And so, as we continue to leverage data and AI technology, as Kristin mentioned, to more personalize the experience, we expect to be able to accelerate the growth of the actual number of digital subscribers. So that combined with the ARPU opportunity we have, gives us a ton of confidence that there's a long ways to go in this revenue category.
Giuliano Bologna: That's very helpful. And maybe, pivoting slightly, but you obviously chunk out of two quarters for, at least beat my numbers on EBITDA and probably beat history as well I think in the last few quarters. You're now at the midpoint of ‘24. How do you feel about your revenue and EBITDA projections for the balance of ‘24 at this point?
Michael Reed: Yes. I feel good. We're right on track, Giuliano, with where we thought we'd be. So, we've driven six consecutive quarters of revenue trend improvement. More specifically, this year, we're driving more substantial revenue trend improvement. We did -- we had a decline of 8.6% full-year '23. We've taken four full basis points off of that already, the first half of this year. So, we're right on track in terms of revenue. EBITDA feeling really good, probably slightly ahead of where we thought we'd be, through the first six months and our leverage continues to decline. We dropped below two times in the first quarter, from a first lien net perspective, and we dropped below $1 billion in total net debt for the first time since we acquired Gannett back in 2019. So, through the midpoint of the year, everything is on track and gives us a lot of confidence about delivering our full-year numbers.
Giuliano Bologna: That's very helpful. And then, just looking at the echo around the industry, I mean, there's several eight new AI search engine platforms that were announced just this week. And I'm curious how you feel about this development and any opportunities that where you could potentially leverage your content with some of those AI search engines?
Chris Cho: Yes. Absolutely. I mean, I would say from a Gannett perspective, we remain very focused on ensuring that we get proper compensation for our content and I think it's pretty evident that AI search engine needs fresh relevant and high-quality content, which we produce at scale. And that's really necessary to not only going to produce the product, but importantly maintain that product. And I would say in our view, many of the deals that have been struck to date don't really reflect the true long-term impact or kind of significant value that the publishers are bringing to these LLMs. And so, we continue to have conversations, we're certainly open to striking deals. but we as an industry, as a company, we've witnessed the impact of Big Tech in the past and we want to make sure that we're not trading kind of short-term gains for the long-term impact or long-term value.
Michael Reed: And Giuliano, I would add. I think, as we -- as some of these search engines -- AI search engines appear now as business models versus just large language models that were trained on older material, including our content illegally. but as new search engines emerge as a business model, that makes our content even more attractive to those businesses, because they have to stay current. They have to be relevant. They have to be current. and you heard earlier on our call today, we're reaching 53% of the audience in the U.S. That's on the Internet. So, what we're producing has real value to more than half the country. And so, I think our content just becomes that much more valuable as search engine AI platforms emerge. And that will give us a real opportunity to turn this into a licensing revenue stream, going forward in our view.
Giuliano Bologna: That's very helpful. And then, I think I'd be curious maybe going back to a couple of questions. Doug, I'm curious what gives you the confidence that you'll get to your year-end goals for revenue at this point in the year.
Michael Reed: Yes. There's a few things. One is the digital subscription business that I talked about, we're generating 20% plus revenue today. and our digital subs are starting to grow again, not only sequentially but year-over-year. and so that as we continue to grow both ARPU and the subs number, we have a lot of confidence that our digital subscription business continues to accelerate back half of the year. Then, I would turn to both the digital advertising and the DMS categories. We have strong new business pipelines in both of those categories. In fact, on the media side, our pipeline is the largest it's ever been. and so, that's really good to see. As we close that business in the third quarter, we'll start to really see digital advertising revenue pick up both in Q3 and Q4, and same goes for DMS as we grow our customer pipeline, the budgets to those customers place with us and focus on solid utilization. We'll be able to accelerate the DMS revenues as well. And then there's some focus on audience expansion and increased engagement that you heard from Kristin; those strategic initiatives will help us grow programmatic digital advertising as well. We're really excited about the strategic initiatives we outlined today around sports, video. We have the elections the back half of the year, which will have real positive impacts on audience and engagement, and therefore revenue. So, there's a lot of needles that will move revenue and combine that with the very strong pipelines our sales teams have combined, give us a lot of confidence on accelerating the growth numbers for both digital advertising and DMS. And then, Doug mentioned this too. but it really plays into giving us additional confidence, the back half of the year gets betters, we have prioritized stabilizing print as best we can. We do understand that that's a declining revenue category for us. but it's profitable and with some focus on the stabilization there on customer service, on the quality of the content, those things. We are actually seeing, as Doug mentioned, two consecutive quarters have improvement and trend. We don't expect that to turn into a growth engine for sure as Doug mentioned, but just some slight stabilization in the print trends allows more of that digital growth to drop to overall revenue growth. So, feel really good not only about where we are. But all the plans we have in place to deliver the full-year results that we've outlined back in February.
Giuliano Bologna: That's very helpful and maybe one follow-up. Yes. you mentioned some of the access content, potentially being access legally in the past and kind of on that general subject not specifically. but you guys have a large lawsuit outstanding, with who I'm curious if there are any milestones in that case or any progress for example, crystallizing a claim or anything along those lines that you're able to touch on.
Michael Reed: Yes. A couple of small updates Giuliano since our Q1 earnings call. Number one, the Google trial is with the DoJ is slated to start in September. There's been no change in that. So, it's good to see that we're just some five weeks, six weeks away from that going to trial. Second, a summary judgment that Google had filed for to have it dismissed was denied. So, the trial is going forward and then the third thing is the witness list has been released by the DoJ, and the DoJ’s witness list is an incredibly strong list of witnesses. Our lawyers felt even stronger about our case when they saw the DoJ's witness list. So, those are kind of the developments that have occurred since last quarter. Things are staying on track from a timing perspective, and I think the DoJ and ourselves feel really good about our positions.
Giuliano Bologna: That's very helpful. Thank you. I appreciate it. I'll jump back in the queue.
Operator: Thank you. Our next question is coming from Matt Condon with Citizens JMP. Your line is live.
Michael Reed: Hi, Matt.
Matthew Condon: Hi, guys. Thank you for taking my question. Maybe, my first one is just on the DMS business. I know you guys talked about some to turn maybe in some lower margin accounts that you saw in the quarter and that improved throughout the quarter maybe into 3Q here. But can you give us any more color just online of sight of the acceleration of that business? And then maybe, just further on the DMS business, nice to see the AI products, the AI CRM tool gaining traction. What other products do you guys feel like you can launch here that could be some sort of product catalyst going forward?
Chris Cho: Hey, Matt.
Michael Reed: Taking this, Chris.
Chris Cho: Yes. Thank you, Mike.
Michael Reed: Yes.
Chris Cho: Hi, Matt. Thank you for your question. There's always going to be some volatility in accounts across digital advertising, and we saw that in some of our larger accounts in digital media and DMS in the quarter. Outside of building a strong pipeline, which we are doing and have done to some degree as Mike mentioned and a lot of that momentum we're carrying into the third quarter, we've been very proactive in taking steps to improve churn across our portfolio. We know that accounts that buy more than one product from us, whether it's within our DMS portfolio or across our digital media portfolio, they just experience better results and stay with us longer. Then, we've focused our sales efforts on selling a comprehensive product portfolio, which also improves our ARPU. We're making improvements to our speed to market, which is particularly important for larger accounts. And as you asked, whether it's through an upgraded customer center powered by DASH, which is our AI-powered product or other reporting capabilities, we're making the upgrades to the performance analytics and reporting features our clients want and are receiving. And as I mentioned for DMS, we saw our retention improved through Q2 and we feel confident that we're taking the right steps to stabilize the churn.
Doug Horne: And I think, Matt and Chris can give you more specifics. but probably, the next developments from a product perspective are around DASH. DASH is capable of doing a few things today, but there's more in the pipeline. You can give a couple specifics, but that's really where the next iteration of product development will come is more add-on features to DASH.
Chris Cho: That's right. yes. in addition to the Digital Marketing Solutions that we provide, the AI-powered software offering is really going to close the feedback loop and make the Digital Marketing Solutions set more holistic and wholesome and that, it's going to provide more commercial outcomes, more benefits to campaign optimization and the solutions working together will yield so much more benefits to our customers and to connect.
Matthew Condon: Great. That was very helpful. And then maybe, just shifting gears with Google launching AI overviews, it really changing the dynamic of search. Can you just talk about how that either it's impacted search traffic to date? And then how do you expect that to impact search traffic to your site over time?
Michael Reed: Yes. Matt, we haven't -- and you kind a heard our audience numbers this morning. We haven't really seen any real impact from the changes Google has made to different search and to algorithms. I know Google is trying to get more of a full fulsome response on their own platform and they've tried to move maybe, some advertisers that are paying them more up in the search. But overall, our audience numbers continue to prolong as you heard this morning. About 185 million unique in the quarter. Each month, we were the largest traditional media company in terms of Internet audience in July in the country and we're reaching 53% of the U.S. adults in the country on the Internet. So, we were the largest in April. So, we're not seeing any impact at this point. And as you've also heard from us, both in the Q&A and on our call, very optimistic about our improved digital advertising trends the back half of the year. So, I guess, it's a long-winded answer to where they're really not seeing much impact on our business, Matt.
Matthew Condon: Great. and then maybe, just the last one from me. I know we already talked about some of the AI model training companies that have been partnering with publishers across the space. But I guess, maybe, what is it that can maybe, get you guys over the hurdle there? And then, how do you think about just the long-term benefits versus risks in striking some of these deals as they kind of changes the dynamic of how people are willing to maybe view content across the Internet? Thank you.
Michael Reed: Yes. It's a great question and there's probably not anybody that has the perfect answer there. Because we don't really know what the future holds. I would say though that we want to be a part of the solution rather than part of the problem. and so, we are anxious to engage in with multiple AI platform companies on conversations. We think it can be mutually beneficial to them and to us as some of these AI platforms graduate more to search as we're seeing now. That makes our content that much more relevant. I think maybe the key, which puts us in a better position to create a valuable deal to both us and the AI company. I think maybe, to the heart of your question, Matt is also why we haven't struck a deal yet is we want to get fair value for our content. And we don't think that the deals that have been cut so far, while it may represent fair value to those companies in terms of what they're looking at or how they look at their business or how they cut their deal. We haven't seen a deal yet that we think represents fair value for our content. And so as we look at the future, we want -- as I said we want to be a part of the solution. We know artificial intelligence is going to be -- is powerful and we’ll only get more powerful. So, we need to be there. But in order to have a sustainable business, we need to be paid fairly for the value of our content. And so, I think we'll get there. I think it's just a matter of time. We're not the first to the party. but I think we'll get there. And so, I'm optimistic that we'll strike some good deals, and they'll be mutually beneficial to us and our AI partners. And they'll help us. They'll enhance our business, not be detrimental to our business.
Matthew Condon: Thank you so much.
Michael Reed: Thanks, Matt.
Operator: Thank you. As we have reached the end of our question-and-answer session, I will now turn the call back over to Mr. Reed for any closing comments.
Michael Reed: Yes. Thank you. And thanks everybody for joining this morning. I just wanted to wrap up with a couple of thoughts. I want to reiterate the strong performance we saw in the second quarter, and then how we are on track and expect to accomplish our full year objectives. I think that's an important point. I'd also -- when you have time, I'd ask you to go to our supplement posted on our website, pages four to 10, I think give you a really good overview of our strategy and also, the specifics of our performance as it plays into that strategy. I think they're just -- they tell the story very well. And there are a number of catalysts, I think that as we leave this call, I just want to make sure are top of mind for everybody. We've discussed them this morning. They're important and they give us confidence on delivering our full-year objectives. So quickly, I just want to run through a few one, we generated year-over-year adjusted EBITDA growth, as well as we saw a pretty substantial increase in free cash flow sequentially. We did improve our same-store trends on a sequential basis for the sixth consecutive quarter, and we've cut the losses from last year on same-store loss almost in half. We realized digital revenue growth across all key digital revenue categories again, this quarter, and as a result of that total digital revenues now stand at 44% of total revenues. We're getting there through digital revenue growth importantly rather than just simply a free fall of print. I think that's a really important point. Achieve new highs in digital only subscription revenue, digital only subscription ARPU, DMS core platform revenue and core platform ARPU. So, we're at all-time highs in these areas. And as I mentioned our pipelines are strong, which is great to see. We have an increasingly engaged and large scale audience with 185 million average monthly unique visitors. We're ongoing deleveraging through adjusted EBITDA growth, as well as debt repayment. That's put us in a position, where first we met leverage has now dropped below two. We're at 1.9. We expect that to continue to drop as the year goes on and we have a solid liquidity position with nearly $100 million of cash on the balance sheet as we ended the quarter. So, really, really good momentum heading into the back half of the year. I'd also like to take this opportunity to thank the entire Gannett team for their passion, their commitment and their dedication, the execution on our strategy. I know the team feels good that they're seeing some of these results now. because we've been putting some of these plans and processes, and strategies in place for a couple of years now, and they're really coming to fruition. So, really confident and expect to have great success in the back half of the year. Thank you everybody for the support and for their time on the call this morning, and look forward to updating you again, next quarter. Thank you.
Operator: Thank you. This concludes today's call and you may disconnect your lines at this time. and we thank you for your participation.